Operator: Good day, and welcome to the Harte Hanks Fourth Quarter and Full Year 2020 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Sheila Ennis. Please go ahead.
Sheila Ennis: Thank you, Kevin, and good afternoon, everyone. Thanks for joining us. Hosting the call today are Andrew Benett, Executive Chairman and CEO of Harte Hanks; and Lauri Kearnes, CFO. Before I begin, I'd like to tell everyone that the information provided during this call may contain forward-looking statements, such as statements about the company's strategies, adjustments to its cost structure, financial outlook and capital resources, competitive factors, business and industry expectations, anticipated performance and outcomes, future effects of acquisitions, dispositions, litigation and regulatory changes, as well as economic forecasts for the markets they serve; expectations related to cost savings measures and the availability of tax refunds and other statements that are not historical facts. Actual results may differ materially from those projected or implied in these statements because of the various risks and uncertainties, included those described in the company's Form 10-K and 10-Q and other filings with the SEC. And in the cautionary statement in today's press release. The call may also reference non-GAAP financial measures. Please refer to the earnings release that was issued after the close for reconciliation of other related disclosures.
Andrew Benett: Thank you, Sheila. First, I want to thank our 2,000-plus colleagues around the world for delivering strong results for both the quarter and the year. This past year's challenges have forced us all to navigate our daily lives with both grace and grit, and I want to express my sincere appreciation to our Harte Hanks employees who are approached each day with just that. I hope that everyone on this call has similarly managed through the year and could take comfort that we're hopefully nearing the life at the end of the tunnel. We're pleased to announce that we have structured our business into three operating segments: Marketing Services, Customer Care and Fulfillment & Logistics. As will be provided in our 10-K, we've begun segment reporting to reflect this. Lauri will talk through the results in greater detail. We've made significant progress in 2020. I'll highlight our strengthened financial position, the excellent results from our Customer Care business, the progress on our cost reduction efforts, our new executive hires and our optimism around our business going forward. To begin with, first, our strengthened financial position. In 2020, we strengthened our balance sheet and began 2021 with $29.4 million in cash and cash equivalents and we anticipate an additional $7.5 million from an income tax refund by year end. Secondly, our contact center results for the year. Revenue grew in our Customer Care segment by 44.5% for the quarter, fueled by continuing project work, increased volume from existing clients and new wins. In 2020, we made significant progress transforming our Customer Care business from a prototypical call center BPO to a tech-first offering, aggregating cross-channel interactions to provide our clients with 360-degree customer profile and leveraging our Harte Hanks CRM marketing services capabilities. In addition, leveraging work at home has allowed us to eliminate typical cost constraints tied to pure brick-and-mortar facilities, such as recruiting, space, hardware and aspects of connectivity. We also added technology capabilities such as Tableau to improve our reporting and expanded our business intelligence capabilities with dashboard development and analytic modeling, also borrowing from our Marketing Services business. As the consumer interacts more in real-time through social media, we formalized our relationship with  creating an integrated platform that allows customers to interact across multiple messaging platforms. We integrate this solution across the multiple CRMs we support, including Oracle CX, Salesforce and Zendesk. Huge kudos to Ben Chacko, our new Managing Director for Customer Care and for his stellar team for leading an amazing transformation of the business in 2020.
Lauri Kearnes: Thank you, Andrew. As Andrew noted, we have organized the company around three segments: Marketing Services, Fulfillment & Logistics and Customer Care, and we'll be reporting on them moving forward. Revenues grew in our Customer Care segment by 44.5% for the quarter; this was fueled by continuing project work as well as increased volumes with existing clients. Our Marketing Services business was down a modest 6.3% mostly due to reductions in our clients' 2020 marketing budgets due to COVID. Fulfillment & Logistics was down 39.3% due to the elimination of our mail production facility as well as impacts due to COVID for some clients. The company's cost reduction efforts continue to be reflected in our quarterly results, which show a stabilizing business performing with consistency. Our cost cutting, coupled with revenue stabilization and growth are key contributors to the positive and consistent adjusted EBITDA. This is the third quarter in a row that we are adjusted EBITDA positive at $1.9 million in Q4. With respect to new business, I am pleased to report that our current weighted pipeline is $14.8 million. Our unweighted pipeline is $41 million, both of which remain strong heading into 2021. As Andrew has described, part of our optimization efforts include continuing to focus on streamlining and restructuring the business to meet the needs of the market today, and we are encouraged by the stabilization and growth in the business lines where we're investing. I'd now like to walk through the quarterly results in more detail. Fourth quarter revenues were $47.1 million compared to $52.3 million in the year ago quarter for a year-over-year revenue decline of $5.2 million or 10%. Our operating expenses for the fourth quarter were $47.4 million, down from $51.9 million in the year ago quarter. We reduced our operating expenses in labor and production and distribution, the decreases were driven from reduction in transportation and facility expenses as well as expenses related to the closure of our mail facilities. Operating loss came in at $368,000 versus operating income of $785,000 in Q3 and $422,000 in the year ago quarter. We generated GAAP net income of $1 million or $0.12 and $0.11 per basic and diluted share in the fourth quarter, respectively. This compares to a GAAP net loss of $3 million or $0.49 per basic and diluted share in the year-ago period. Fourth quarter adjusted EBITDA was $1.9 million compared to $3 million in the same period last year.
Operator: Thank you.  We can now go to the line of Michael Kupinski of NOBLE Capital Markets. Please go ahead sir.
Michael Kupinski: Thank you, and congratulations on your quarter and positive EBITDA in the fourth quarter. I know you operate in a very difficult environment as many media companies, and you did – you executed very well. I appreciate that. So a couple of questions. Since the company is organized now into three operating segments, can you kind of talk a little bit about how each segment is where there – where most of the revenue is derived from, like in terms of categories like, for instance, maybe you could just talk about the accounts or – what accounts for large portions of the revenues in each one of those segments?
Andrew Benett: Yes, we can – I can start, and obviously, we'll give you client categories. So our Marketing Services business is essentially a CRM business, a CRM agency that has a few components in it, everything from strategy to creative, to technology to implement e-mail solutions. So when you think about that business and as we think about that business, you would look at competitors within the big holding companies in their CRM pure-play agencies. Our Fulfillment & Logistics business does multiple aspects today of fulfillment, literature fulfillment, product fulfillment, and then we also do trade marketing fulfillment would be the three biggest categories. As you're aware, there's been a decline in literature fulfillment as a category as there's less printing as a whole. So when you look at three components of the business as it stands today, we see growth in product fulfillment, which is obviously what B2B and B2C e-commerce is about. That is e-commerce product fulfillment. And then our Customer Care business, as I mentioned on the call, is transforming, and the majority of the revenue, those are all based on a number of seats with any given client for the services. What I would say is that the transformation that we've made has been to offer more technology services as well. And so we see that business transforming as well over time.
Michael Kupinski: Got it. And in terms of your Customer Care, obviously, a big jump in the revenues in the quarter. Can you talk a little bit about how much of that revenue is what you would, I guess, call recurring or one-time in nature?
Andrew Benett: Yes. Lauri, do you want to give a sense for what we think that would be now?
Lauri Kearnes: Sure. I think we have seen a great increase in that. And some of what we thought would be short-term project work that continued into longer than we had planned. But there's still a portion, maybe between 10% and 20%, that what we would consider project work that's not necessarily recurring. But I think that there's still opportunities to continue to grow that and expand in some of that project work that we can continue to do even if its six months to a year-long project rather than a short period.
Michael Kupinski: And it looks like we are pretty pretty much through the first quarter here. Can you just kind of give us a sense on how each one of these divisions or segments are performing into the first quarter?
Andrew Benett: Yes. And so as we look at the first quarter and beyond, and we've talked about this before and talked about how we believe we've stabilized top line revenue and obviously now need to get these businesses towards growth and are continuing to improve EBITDA for each of those businesses. So we see that continuing in the fourth quarter and beyond.
Michael Kupinski: Okay. And then you've mentioned that you have ongoing cost reduction efforts. Can you provide some thought in terms of what annualized cost savings might be in 2021?
Andrew Benett: Yes, I think its 2021 and beyond. Lauri, if you want to touch on that and maybe touch on the ERP implementation as well?
Lauri Kearnes: Sure. I mean, as we stated, we cut from – through restructuring efforts over $20 million. Certainly, some of our costs normally would fluctuate with the revenue. We're continuing through our restructuring that we expect to complete in 2021. And as you know, we've discussed before, reducing our facilities footprint has certainly been a focus as well as some IT projects we've had going on. We're also embarking on an implementation of a new cloud-based ERP system that we expect to drive additional efficiency in the business and enable us to reduce costs further in the coming years, especially in our overhead-related costs.
Michael Kupinski: Got you. And in terms of – I know the efforts last year were – and a year before were to reduce third-party vendors cost and so forth. Where do you stand on most of your third-party vendors at this point in terms of further cost reductions there? Or are you satisfied to cut most of the cost that you need to in that area?
Andrew Benett: Yes, we have. First of all, with regards to third pay vendors, we have completely. Secondly, we've also – and we've discussed this in the past, our goal is to be as asset-light, and that's not just from a real estate footprint standpoint, which we've made tremendous progress over the last few years. But also in terms of technology, as an example. So in our Fulfillment & Logistics business, we're moving towards a much more open architecture, OMS, WMS and reducing our own internal labor for development. So not only are we not reliant going forward on third-party vendors, but we're also not reliant on fixed cost or we won't be as reliant on fixed cost to maintain systems and deliver our work.
Michael Kupinski: And then finally, just a clarification. You guys gave information on the pipeline of business. Can you just kind of give me a sense of how we should look at the numbers that you provided in terms of how this translates into revenue going forward and over what time frame?
Andrew Benett: Yes. So the – as we've talked about, we like to see the weighted pipeline that's weighted at 75% or higher on conversion, likeliness to convert at – tracking at about $15 million. Obviously, the quality of a pipeline is as important as the numbers. Where we feel encouraged is that the quality of what is in there is of higher quality than in the past. So what I mean by that is by design and how we're selling it, our clients and prospects are engaging with more than one service, as an example. So it's a higher quality, higher ticket item, but it's also leveraging more services. So one way to look at it, obviously, is that number. But the other way, which is obviously tougher to see, is the quality. And as we announce more and more client wins and you see the types of client wins, that's another way to see the transition and the work that we're doing, which is towards higher margin, higher ticket item work across all of our businesses. 
Michael Kupinski: Great. Congratulations on your progress, again. Thank you.
Andrew Benett: Thank you.
Lauri Kearnes: Thank you.
Operator: There are no further questions at this time.
Andrew Benett: Perfect. Well, to conclude, thank you all very much for your time, and we appreciate it. Thank you.
Lauri Kearnes: Thank you.
Operator: Ladies and gentlemen, that concludes today's conference call. We thank you for your participation. You may now disconnect.